Operator: Good afternoon, and welcome to the Ross Stores First Quarter 2016 Earnings Release Conference Call. [Operator Instructions] 
 Before we get started, on behalf of Ross Stores, I would like to note that the comments made on this call will contain forward-looking statements regarding expectations about future growth and financial results, including sales and earnings forecasts and other matters that are based on the company's current forecast of aspects of its future business. These forward-looking statements are subject to risks and uncertainties that could cause actual results to differ materially from historical performance or current expectations. Risk factors are included in today's press release and the company's fiscal 2015 Form 10-K and fiscal 2016 Form 8-Ks on file with the SEC. 
 Now I'd like to turn the call over to Barbara Rentler, Chief Executive Officer. 
Barbara Rentler: Good afternoon. Joining me on our call today are Michael Balmuth, Executive Chairman; Michael O'Sullivan, President and Chief Operating Officer; Gary Cribb, Executive Vice President, Stores and Loss Prevention; John Call, Executive Vice President, Finance and Legal; Michael Hartshorn, Group Senior Vice President and Chief Financial Officer; and Connie Kao, Vice President, Investor Relations. 
 We will begin our call today with a review of our first quarter performance, followed by our outlook for the second quarter and fiscal year. Afterwards, we'll be happy to respond to any questions you may have.
 Earnings per share for the first quarter was $0.73 or a 6% gain on top of a robust 19% increase in the prior year period. Net earnings for the quarter were $291 million, up from $282 million last year. Sales increased 5% to $3,089,000,000, with comparable store sales up 2% on top of a strong 5% gain in the first quarter of 2015.
 Despite facing our strongest prior year comparisons, along with merchandising execution issues in ladies' apparel, sales performed at the high end of guidance, while earnings per share were slightly above our targeted range.
 During the quarter, home and shoes were the best-performing merchandise categories at Ross, while ladies' apparel underperformed.
 Geographically, the Midwest and Mid-Atlantic were the strongest regions. Although our first quarter operating margin of 15.4% was down from last year, it was slightly above plan, mainly due to higher merchandise margins that partially offset the expected impact from the unfavorable timing of packaway-related expenses.
 As we ended the first quarter, total consolidated inventories were flat versus the prior year, with average in-store inventories down slightly.
 Packaway as a percent of total inventories was 46% compared to 45% at this time last year.
 Both sales and operating profits at dd's DISCOUNTS were better-than-expected in the first quarter, as customers continued to respond positively to dd's value offering.
 Our store expansion program remains on track as we opened 22 new Ross and 6 dd's DISCOUNTS stores in the first quarter. We continue to expect to add a total of 90 new locations in 2016 comprised of approximately 70 Ross and 20 dd's DISCOUNTS. As usual, these numbers do not reflect our plans to close or relocate about 10 older stores during the year.
 Now Michael Hartshorn will provide further color on our first quarter results and details on our second quarter guidance. 
Michael Hartshorn: Thank you, Barbara. Our 2% comparable store sales gain was driven by an increase in the size of the average basket. As Barbara mentioned, first quarter operating margin of 15.4% was down 30 basis points from last year, which was better than our guidance for a 50 to 70 basis point decline.
 Cost of goods sold increased 10 basis points in the quarter, mainly due to a 55 basis point increase in distribution expenses from the expected impact of a new distribution center we opened in the second quarter of last year as well as the unfavorable timing of packaway-related costs that benefited this period in 2015.
 These expense pressures were partially offset by merchandise margins that rose a better-than-expected 35 basis points and 10 basis points in lower-volume costs.
 Selling, general and administrative expenses during the period increased by 20 basis points due to a combination of deleverage from the 2% increase in comparable store sales and also higher wages.
 During the first quarter, we repurchased 3.1 million shares for a total purchase price of $176 million. This keeps us on track to buy back as planned a total of $700 million in stock for the year, which will complete the 2-year, $1.4-billion program authorized by our Board of Directors in February 2015.
 Let's turn now to our second quarter guidance. We continue to forecast same-store sales for the 13 weeks ending July 30, 2016, to be up 1% to 2% on top of a 4% gain in the second quarter of 2015, with earnings per share of $0.64 to $0.67 compared to $0.63 last year.
 Our guidance for the second quarter is based on the following assumptions. Total sales are projected to increase 4% to 5%. We expect to open 31 new stores during the period, including 24 Ross and 7 dd's DISCOUNTS locations.
 Second quarter operating margin is projected to be relatively flat at 13.8% to 14.0% compared to last year's 13.9%.
 In addition, net interest expense for the quarter is estimated to be about $4 million. Our tax rate is expected to be approximately 38% to 39%,  and weighted average diluted shares outstanding are projected to be about 397 million.
 Based on our first quarter results and the second quarter guidance, we now project fiscal 2016 earnings per share to be in the range of $2.63 to $2.72 compared to $2.51 last year. 
 Now I'll turn the call back to Barbara for closing comments. 
Barbara Rentler: Thank you, Michael. As mentioned earlier, even though we faced our toughest prior year comparison and comparable store sales came in at the high end of guidance with earnings per share performing slightly above our targeted range, we feel we should have done better. 
 In hindsight, we now know that we had some merchandise execution issues in ladies' apparel during the quarter that are now in the process of being addressed.
 Looking ahead, we have plenty of open-to-buy, which gives our merchants the ability to select the best values from the large volume of product  available in the marketplace today. 
 Seeing this position will enable us to offer customers even more fresh and exciting new bargains as we move through the second quarter and the balance of 2016.
 As always, providing customers with the most compelling name brand values possible is the key driver of both our short- and long-term success. 
 At this point, we'd like to open up the call and respond to any questions you might have. 
Operator: [Operator Instructions] Your first question is from Paul Lejuez with Citi. 
Paul Lejuez: On the last call, I believe you mentioned that you were holding back a little bit on -- some of your potential packaway buys, which [indiscernible] were going to get even better. I'm just wondering if that came to fruition throughout the quarter. And if so, when do you plan to flow those goods into the stores? And also just kind of curious about performance in some of your largest states, California and Texas, Florida? 
Barbara Rentler: Okay. Paul, as it pertains to packaway, yes, we did buy packaway goods in the first quarter that we would use for second quarter and for fall. We're actually pleased with the packaway assortment that we have. And in terms of... 
Michael O'Sullivan: I think your other question, Paul, was on region. So Michael, do you want to comment on? 
Michael Hartshorn: Sure. On the regions, Paul, the Midwest and the Mid-Atlantic, as we said in the comments, were the strongest regions. The Midwest has been very strong over the last several years, while the Mid-Atlantic benefited from a favorable weather comparison versus last year. In terms of other states, you mentioned California, our largest region performed slightly below the chain average. Texas was above the chain average on top of a strong performance last year when it was also above the chain average. And then Florida, trailed the chain average. We believe some of the merchandising issues that Barbara mentioned in her comments had a bigger impact to Florida as we transition spring product earlier there. 
Paul Lejuez: And then just 1 follow up. What's the timing and when you feel like you might have the merchandising issues fixed on the ladies' apparel side? 
Barbara Rentler: At this point, we're working on the issues. So they are in the process of being addressed. We're working to fix them as quickly as possible, and it's embedded in our guidance for Q2. So we hope to do better. 
Operator: And the next question is from Neely Tamminga with Piper Jaffray. 
Neely Tamminga: I was wondering if you could elaborate a little bit more on the ladies' apparel merchandise issue. Is it within specific categories? Or is it kind of more broad based? We're just trying to better understand that issue. 
Barbara Rentler: Well, what I would say is that we could have done a much better job of executing our merchandise game in ladies, and it was mainly in the transition to spring products that we made some execution errors. 
Operator: And your next question is from Ike Boruchow with Wells Fargo. 
Irwin Boruchow: I think this is the first time in the last 4 or 5 quarters that you didn't call out transactions as being up in the driver of comp. Is that all attributable? I assume that's not a real traffic number. If the transaction is not being called out, does that mean transactions were down? And again, is that all related to the ladies' apparel category? 
Michael Hartshorn: I guess, we mentioned in our remarks that the 2% comp was driven by the size of the average basket. Transactions are approximately[ph] for traffic was flat during the quarter. The higher basket was driven mainly from higher units per transaction. 
Barbara Rentler: Well, what I would add, Ike, is that, that I believe in our assortments in ladies' apparel are not up to the standards that our customers come to expect. That probably makes us a little less compelling to shop. 
Operator: The next question is from Daniel Hofkin with William Blair & Company. 
Daniel Hofkin: Could you maybe quantify what comps might have been in other categories or give us some sense of what that impact would have been from ladies' apparel? And moving forward, kind of how you see that, it sounds like you are in the process of fixing it. Do you think it's realistically fixable by holidays, third and fourth quarter? 
Michael Hartshorn: Sure. In terms of other merchandise performance, we did have categories that performed well. Home and shoes did very well for us. In terms of trying to understand the impact, it's always hard to do. That said, our comparable store sales did slow 1 to 2 points from our trends in the back half of last year. 
Barbara Rentler: And what I would say is, we're going to -- we're working to address the issues and to fix them as quickly as possible. We've been doing this for a long time. We've made mistakes before, and we're going to get it fixed. 
Operator: Your next question is from Stephen Grambling with Goldman Sachs. 
Stephen Grambling: Just clarify on an earlier question. As you think about the distribution headwinds as well as the packaway headwinds, can you just clarify how that should progress over the course of the year? 
Michael Hartshorn: Sure, Stephen. So in the quarter, distribution costs were 55 basis points higher than last year, and that's split fairly evenly between anniversary-ing our -- the opening of our distribution center in the second quarter of last year and also the timing of packaway-related costs. As we get into the second quarter, the impact of that DC will be about half of what it was in the first quarter, and we'll have it fully anniversaried when we get back to the back half of the year. In terms of timing of packaway, if you recall last year, we got a benefit in the first quarter, we got a benefit in the third quarter and took a charge in the fourth quarter. So we're up against those this year. So we had a -- about half of the 55 basis points was a drag. In this first quarter and our upcoming second quarter, the guidance assumes packaway is relatively flat. 
Stephen Grambling: That's very helpful. And then turning back to the top line, is there any comments that you can provide on the trend throughout the quarter, especially as it relates to traffic? Was it pretty consistent? Or was there any particularly strong changes as the quarter progressed? 
Michael Hartshorn: Sure, Stephen. Sales were relatively consistent throughout the quarter. Comp sales for March and April combined which removes the impact of the Easter calendar shift, were very similar to what we saw in February. 
Operator: Your next question is from Kimberly Greenberger with Morgan Stanley. 
Kimberly Greenberger: Great. Barbara, I'm not sure if there's anything else that you'd like to share about just your observations on the transit  -- the spring transition in ladies' apparel. So obviously, we'd love to hear them. And I'm wondering, obviously, that is impacting, I would imagine, the start here to the second quarter. Do you think that there's an opportunity perhaps for that ladies' business to get back on track by the time we get it to the July time frame? Or do you really think that the full second quarter will be impacted? I would imagine that the issues here do not -- you would not expect them to continue into the back half of the year. But I just want to make sure that's a fair assumption. 
Barbara Rentler: So let me start with -- in terms of the transition of ladies',  the only other flavor I would put to it is that, really, what we found is that we had wrong fabrications and colors. They were not appropriate. So our assortment was, I would say, off course. In terms of the starts to the second quarter, we, obviously, wouldn't comment on that in the quarter that we're in. In terms of the back half, we're working on it. We're drilling in, figuring out what's wrong, working on it and trying to fix things as quickly as possible, but it's hard to predict. So we've got it embedded in our guidance, and we're hoping to do better. 
Kimberly Greenberger: Great. And just 1 last question. Obviously, this execution challenge relates to current in season product that you got in the stores. Can you reflect on the product that's been print packaway? And do you think that there's some risk that some of the product that's been put into the packaway could also have suffered from a similar execution issue? Or do you have different guardrails around the product that goes into the packaway relative to what you've got in the stores at this time? 
Barbara Rentler: No, we're comfortable with what we have in packaway. We don't think the 2 issues relate. 
Operator: The next question is from Brian Tunick with RBC. 
Brian Tunick: A couple of questions. I guess, number 1, from an in-store inventory reduction opportunity, can you maybe just give us an update there on sort of what we should think about the rest of the year could look like? Obviously, you've made great strides. How you're thinking we should expect in-store inventories to play out? And then, Q1 is usually choppy between the tax refunds and obviously there was the gas price relief. Did you guys have any chance to parse out? I guess, California saw the wage hikes first? You call that, I think, underperforming the chain. Just any perspective as you think about the tax refunds, the gas price relief, the wage hikes for your consumer? 
Michael O'Sullivan: Sure. So Brian, I'll take the second part of your question first. Maybe Michael Hartshorn will respond on the expectations we met for reductions throughout the rest of the year. But in terms of some of the issues you raised like gas prices, wages, et cetera, I mean our business is always affected by sort of external variables and when we came into the year, we did -- we raised some about concerns about the economic in the consumer outlook. It's difficult, as you say, parse out those different components and quantify their impact. What I would say though is that I think we've always acknowledged that our performance is more than anything driven by our own execution. So although many of those things that you mentioned were important in Q1, I think our own execution was most important thing. That's why Barbara called it out in her comments. 
Michael Hartshorn: Brian, on inventory levels, we came into the year expectations that after many, many years of inventory reductions that our expectation we're going to operate the business with slightly lower inventory this year, and that expectations hasn't changed. 
Brian Tunick: Okay, and then lastly, on dd's, does it have any of the same women's sportswear issues that Barbara is talking about it at Ross? 
Barbara Rentler: No. 
Operator: Your next question is from Matthew Boss with JPMorgan. 
Matthew Boss: So your forward-looking caution on the overall retail backdrop last quarter, I mean, proved pretty spot on. And I guess, any changes to your larger picture outlook today versus where you were 3 months ago? How are you guys thinking about price competition in the back half? And then just any categories of particular close-out opportunity that you're seeing right now in the landscape? 
Michael O'Sullivan: So Matthew, on the first piece, again, I would see the external environment is one of the number of things that affects our performance. If consumer spending goes down and that leads to a more promotional competitive environment, then that's generally not good. But having said that, we showed in the past that we can perform well in a tough -- even in a tough economic environment. And again, in Q1, we performed at the high end, but we feel like we should have done better but for the execution issues that Barbara described. So we remain cautious as we were when we came into the year in terms of the rest of the year, and that's -- again, it's factored into our guidance. 
Barbara Rentler: In terms of supply, the supply is very broad based. There's a lot of supply in the market. 
Operator: Your next question is from Bob Drbul with Nomura. 
Robert Drbul: I just had a couple of questions. I think the first one is in the strength in shoes, is it the women's shoes, or is it athletic? Can you talk a little bit about your trends in athletic overall? And then strength in home, is it hard home or soft home? Like, what are you seeing in home? And do you feel like that's a sustainable trend that should continue for the rest of the year? 
Barbara Rentler: Actually, our strength in shoes is broad based, both in brown shoe and athletics. As is our strength in home is broad based between decorative home and bed and bath. So both businesses are pretty healthy across the board. 
Robert Drbul: Okay. And when you look at the wage pressures that your business is seeing, do you feel like that's still a containable issue for you as the year progresses? Or do you think it's getting any worse? How do you have that planned in for the rest of the year? 
Michael O'Sullivan: Bob, we feel pretty good about our guidance with respect to the impact of wages this year. Obviously, as you'd expect, we're looking at the longer term as well, and we're working on our various plans to sort of deal with wage pressures over a longer period of time. And more to come on that in the future, but for this year, we feel very comfortable. 
Operator: The next question is from Richard Jaffe with Stifel. 
Richard Jaffe: Could you talk about the trends at average retail price at Ross and at dd's? And then if you just comment on the cash balance, which seems to be growing. I'm wondering if you -- perhaps do you want to get more aggressive on buybacks or dividend or what's your thought on the cash balances? 
Michael Hartshorn: AUR trend at both Ross and dd's are pretty stable, pretty consistent with the prior year. In terms of the cash balance, we look at it time to time, we typically -- we're in the middle of a 2-year authorization, we'll look at it next year in term with -- along with our longer-term plans and make a decision at that point. 
Operator: The next question is from Michael Binetti from UBS. 
Michael Binetti: Maybe I can ask about the -- I guess, on the inventory a little bit of a different way, but this is, I guess, 2 quarters in a row where you've commented I think that the inventory in store has been negative. I don't know if that's related to the women's apparel call out, but are there any -- may be looking a little bit of there, were there any other categories where you felt like maybe you're a little bit too light on inventory to drive the comp? 
Michael Hartshorn: No, that was unrelated, and that's how we operate the business. That was our plan, and it's really [indiscernible]. 
Michael Binetti: Okay. And then maybe if I could just look a little bit longer term, I want to think about maybe 2017, if we just take a look at inventory in the past 9 months in the channel, the department stores have really missed their business plans by a significant amount. We can already see in your comps, in the fourth quarter, you benefited from that. I think you just had first quarter, sounds like inventory is fairly wonderful. But if we assume a more rational inventory ordering pattern from the department stores heading into this holiday and also fairly common theme from the brands like PVH and Ralph Lauren, lately that their big corporate strategies are to slow, inventory flows into the department stores going forward. Do you have maybe a good point history you could point to and say, "Here's what year like 2017 might look like as we lap a period of very favorable inventory situation?" 
Michael O'Sullivan: No. I can't really think about a period in history that, that would be analogous. So what I would say is many of the things that you just said, Michael, are things that frankly people say at the beginning of the every year in terms of here's why supply is going to tighten up. And certainly, we haven't seen any sign of that so far this year, and so we're not expecting to see a major reduction in supply opportunities either for the remainder of this year and maybe it's too early to tell for 2017, but at least no signs of that at this point. 
Barbara Rentler: Actually, our history would show that the supply will take time. As the department store sector, even though they pulled back, their business is way of, and it's very difficult I think for vendor to get ahead of that. So history would show that there would be plentiful supplies to go forward. 
Operator: The next question is from Omar Saad with Evercore ISI. 
Omar Saad: I was wondering if you guys could talk a little bit about how you track your customer data, customer behavior and if you ever thought about something along the lines of the loyalty program or rewards program, even private label credit. It would be helpful to know what your thoughts on those things. 
Michael O'Sullivan: Sure, Omar. Yes, we periodically look at various programs like loyalty program, credit card, et cetera, and it's something we'll continue to look at. But our experience, and what's worked for us, I would say, over many years is to keep it simple and to focus on having the right assortment and great values. And at least all of our customer research tell us more than anything else. That's what the off-price customer cares about, and that's what's going to drive our loyalty over time, quite apart from any sort of loyalty program on the side. It's really all about the right assortment and great values. And if I just think about the most recent quarter, it's clear that in Q1, we didn't miss opportunities because we didn't have a loyalty program. If we missed opportunities that was because we may have had some assortment misses. 
Operator: Your next question is from Mike Baker from Deutsche Bank. 
Michael Baker: So as mentioned, comps slowed 1% to 2% from the end of last year. I guess, what I'm going to ask is how much of that do you think is because of the ladies' apparel assortment issue? And how much is that you mentioned a couple of times that you correctly predicted the consumer was a little bit soft? So is this all because of the ladies' issue? Is it a little bit of both? And then I will have a follow-up to that. 
Michael O'Sullivan: Sure. It's hard for us to say. I would say that what we typically try and do in our business is focus on what we can control. And -- so it's not very helpful for us to sort of dwell on external things that we can't really do anything about. What we think we can do something about and what we could have done something about in Q1 is sort of making sure that we execute as well as possible, and that's really the focus rather than any external issues. 
Michael Baker: But did you see a similar slowdown that you saw in ladies' apparel? Do you see anything you can close that or any kind of slowdown in any other major categories? 
Unknown Executive: No. 
Barbara Rentler: No. Actually, we felt good about our home business, our shoe business, and we're pretty pleased with our junior business. So it really was ladies' apparel. 
Michael Baker: Okay, so that helps us triangulate that. But the follow-up question is, in the past -- and I understand that these things happen. You can't get the buying right every time. But how long does it typically take to fix it? Is it just you live with the bad buys for the season and then you hope the buy is better for the next season? Or can it be fixed inter season with some late buys right now? 
Barbara Rentler: So what I would say is that we're working to fix it as quickly as possible. So we are a 1,300 store chain. It takes a little bit of time, but we've done this before. And so that's why we have it built in our guidance. And we hope to do so [ph]. 
Michael Baker: It wouldn't last into the next season because that's a different buy, presumably? 
Barbara Rentler: Yes, obviously, that's a fair -- you're saying just pure product to product? 
Michael Baker: Correct. 
Barbara Rentler: Yes, I would say that's a fair assessment. 
Operator: Your next question is from Marni Shapiro with Retail Tracker. 
Marni Shapiro: I just want to dig in a little bit to what was going on at the store level away from women's. Are you finding that when she's coming into the store, if she's just not finding what she wants in women's, she's moving into home? And with that in mind -- or into non-apparel, with that in mind, could you shed any light on how the accessories business, handbags and jewelry, what have you -- how that business did? And any insights you have as to what might be driving up the UPT? Is it a function of fewer trips, buying more when she comes in or just great product that she has to have everything? 
Barbara Rentler: Okay, Marni, that's a few different things I would say, as she's coming into the store, in Q1 if she wasn't buying ladies' apparel based on our performance in home and in shoes and other areas of the company that she bought other products. And in terms of accessories, our accessory business is still difficult, really, based on our handbag business, in particular, which is pretty of the industry-wide issue. In terms of UPT, Michael? 
Michael Hartshorn: Yes -- no, so Marni, the UPT has grown for us for a while. It helped drive our comp last year, and our perspective is that the consumer is coming in and we have great bargains in the store and they're buying more per transaction. It's hard to delineate the pieces of that. 
Marni Shapiro: Yes, I know I guess that makes. And then just on like-for-like items, your pricing has remained if I recall and I think you mentioned -- sorry, I'm trying to do 2 at once, but your pricing has remained fairly stable like-for-like, sweater for sweater, bag for bag kind of thing? 
Barbara Rentler: The AUR? 
Marni Shapiro: Yes. 
Barbara Rentler: I would say the AUR sweater for sweater might be the same, the value might be better. So when there's a lot of supply in the market, and you get close outs on, say, better or branded product that you could put out at a lower retail, the AUR could be the same, but the value could be significantly better. 
Marni Shapiro: Fair. And just 1 last follow-up on that note. Are you finding that -- I mean, there's a lot of inventory out there. Have you been able to open vendors that you haven't been able to get into before over the course of the last couple of months and even 6 months? 
Barbara Rentler: I would say that the vendor community is pretty much open to doing business with us everywhere. I mean here. 
Operator: Your next question is from Roxanne Meyer from MKM. 
Roxanne Meyer: Two questions. One, I'm just wondering what your 2Q guidance maybe your 3Q guidance assumes about merchandise margin decline related to getting out of some of the women's apparel that's not working. And then secondly, as it relates to the Midwest markets, it's been outperforming for about 9 quarters now. Just wondering what it is that's really driving the outperformance and whether or not you see that continuing. 
Michael Hartshorn: Roxanne, on guidance. So we'd only give -- we only give one quarter at a time. We'll talk about Q3 after the second quarter. But the second quarter guidance assumes some increase in merchandise margin for the quarter. 
Michael O'Sullivan: And then on the Midwest, Roxanne, yes, as you say, we're very happy with how the Midwest has performed, not just in Q1, but over the last couple of years. It's been one of our top-performing regions. When we entered the Midwest in 2011, we said it would be a very successful business, but it would take time. And we're certainly very pleased with the progress so far. I think it's about having the right values in front of the customer. So we're very pleased with how we've done in the Midwest. 
Operator: Your next question is from David Mann from Johnson Rice. 
David Mann: In terms of the comment you made about the ladies' issue being included in guidance, I guess, I see that your full year guidance seemed to have gone up equal to the amount of the beat in the first quarter. So where in the guidance for the rest of the year would we would see changes in assumptions for this ladies' issue? And what else might have -- you have changed to offset any impact from that? 
Michael Hartshorn: So David, what, I think, we're saying is we could -- we're going -- we expect to achieve our original guidance despite the ladies' issue because that's what happened for the full year. We raised our full year guidance by the $0.01 in the quarter. 
David Mann: And I guess, I'm curious where -- what would be some of the factors that might give you that confidence that you would be able to offset that? 
Michael O'Sullivan: We were able to in the first quarter. So in the first quarter, we hit the high end of our comp guidance of 2% despite the issues that Barbara has described on the ladies' side probably because there were other businesses that did very well. So if you play that out over the year, we feel good about our original guidance. 
David Mann: Very good. And then 1 other question on the wages issue. Do you have an initial thoughts on the potential impact on [indiscernible] overtime regulation? How it might affect your business? 
Unknown Executive: So we've looked at it, and any impact at all would be nonmaterial and we're comfortable with our guidance as we go forward. 
Operator: The next question is from Randy Konik with Jefferies. 
Randal Konik: Quick questions. I just want to clarify when you make the comment the issues are embedded in the guidance. What does that mean exactly for the ladies' apparel? Does that mean that assumes it stays at the single trend it was in the first quarter or even assumes some incremental degradation in the category? Just can we get some, I guess, first color there. And then just a little bit more around the execution side comments. Can you just get a little more clarity what you exactly mean part of the execution? Was it some sort of systems issue, just bought the wrong things, got it in the wrong stores at the wrong time? Just a little bit more of meat on the bone of what the actual issue is? 
Michael Hartshorn: Randy, on the guidance, just to repeat what Barbara said earlier, the issues are going to take some time to fix, and we're focused on, as an organization, to try to get that done quickly. Despite that, like in the first quarter, we obviously missed some opportunities, thought we could have done better, thought we could have beat our original guidance. The guidance going forward is unchanged, and we hope we can do better. 
Barbara Rentler: And in terms of the execution issues in ladies', really, it's a mix issue. We just -- we bought wrong products in fabrications, in colors, we just didn't transition into spring product appropriately. 
Randal Konik: Okay. And then your outlook for merchandise margin already accounts for potential -- the issues around this category, right? So everything you feel for the second quarter guidance, you're properly accounting for the issue to be this ladies' apparel issue to stay kind of confined, is that correct? 
Michael Hartshorn: That's correct. 
Unknown Executive: Yes. 
Barbara Rentler: That's correct. 
Randal Konik: Okay. And then, I guess, lastly how should we be thinking about some of the items that we're seeing out there in the marketplace around different geographic performance? One of your competitor had, I guess, more strength in traffic trends versus you talk more about the basket size driving the comp. What do you think is a little bit of a difference in maybe the varying traffic trends you might have seen versus others? 
Barbara Rentler: I think, as I said before, I believe that when our assortments in ladies' apparel are up to standards, the customer comes to expect. That probably makes us a less compelling place to shop, and that would affect our traffic trends. 
Michael O'Sullivan: And also, I mean, there are some other factors and we were up against very strong prior year comparisons, which I think you always have to look at that when you're comparing our performance with other retailers. And then you also factor in the point Barbara has been making about the ladies' apparel business being a pretty important business and a pretty key driver of traffic. You take those two things together. I think that explains why our traffic has held off a little bit in the first quarter. 
Randal Konik: So you were you able to comment -- are you able to lastly -- on last question here is, are you able to see that potentially in tracking, let's say, customer visits per quarter where you're saying if a customer stood in the store month one of the quarter, she loves what she sees, she's probably going to be back a month later or something. You said you saw visits per store, per person, per quarter in the quarter decelerate the same person? Did you see that? Were you able to see that or tracked the credit card data to look at that? 
Michael O'Sullivan: No. We can't. Our business doesn't lend itself to that kind of sort of -- it would be quite interesting, but our business doesn't lend itself that kind of scientific approach. When we met a traffic just to be clear, we are measuring number of transactions. So we're not looking at actual visits. We don't have the capability to track actual visits, we're looking at number of transactions and we use that as a proxy for traffic, but it's an imperfect proxy. 
Operator: There are no further questions at this time. I will turn the call back over to Barbara Rentler for closing comments. 
Barbara Rentler: Thank you for joining us today and your interest in Ross Stores. Have a great day. 
Operator: This concludes today's conference call. You may now disconnect.